Operator: Ladies and gentlemen, thank you for standing by. Welcome to the ASML 2011 Fourth Quarter and Annual Results Conference Call on January 18, 2012. For our today's introduction, all participants will be in a listen-only mode. After ASML's introduction, there will be an opportunity to ask questions. (Operator instructions). I would now like to turn the conference over to Mr. Craig DeYoung. Please go ahead, sir.
Craig DeYoung: Thank you, Peter, and good afternoon and good morning, ladies and gentlemen. This is Craig DeYoung, Vice President of Investor Relations here at ASML. I'd like to welcome you to our investor call and webcast. As the operator mentioned, the subject of today's call is ASML's 2011 fourth quarter and annual results. Co-hosting today's call here from our headquarters in Veldhoven, Netherlands is Mr. Eric Meurice, ASML's CEO and Mr. Peter Wennink, ASML's CFO. At this time, I'd like to draw your attention to the Safe Harbor statement contained in today's press release and in our fourth quarter and annual results presentations, both of which can be found on our website at asml.com. The Safe Harbor statement will apply to this call and to all associated presentation materials. The length of the call will be 60 minutes. And now I'd like to turn it over to Eric for a brief introduction.
Eric Meurice: Yes, thank you, Craig. Good afternoon, good morning, thank you attending our fourth quarter and annual results conference call. Before we begin the Q&A session, Peter and I as usual would like to give you an overview on the fourth quarter and provide a view forward as much as we can. As usual, Peter will start with a review of the financial performance and I will comment on the short-term outlook and will complete the introduction with some commentary on our immersion and EUV product strategy and status. So, please, Peter?
Peter Wennink: Thank you, Eric and welcome to everyone. Firstly I would like to take this moment to recognize our record sales and profit year in 2011 where we posted close to €5.7 billion of sales and net income of 26% of that sales number. Clearly, a very good year. Our fourth quarter sales came in at €1.2 billion. While the third quarter sales were evenly distributed across industry sectors, the fourth quarter sales were skewed significantly towards the foundry sector with 55%, with the balance spread equally across the memory sectors, NAND 22% and DRAM 19%. Although units shipped favored ArF immersion, non-critical KrF unit shipments were still significant, which indicates capacity additions in some industry segments. We recognized 23 immersion systems in the quarter leading to a total of 101 immersion systems sold throughout the year of which 78 were our most advanced TWINSCAN NXT-1950 immersion tools. The average selling price of all systems shipped in the fourth quarter was €24.2 million, which is an increase of €1 million per unit versus the third quarter. Service and field option sales for the quarter came in at a record €218 million, but that was difference by a significant adoption of performance enhancing field options. We also recognized the sale of one EUV system for a total amount of €39 million. So at the end of the year earnings per share was for 2011, €3.45, which represents a 47% increase versus the €2.35 in 2010. Updating our previously announced share buyback program, as of December 31, 2011, ASML had repurchased 25.7 million shares for a total amount of €700 million, giving an average buyback price of €27. Of the shares repurchased, 13.2 million have already been canceled in 2011 with the remainder to be canceled in 2012. At the end of the fourth quarter, we had €2.7 billion in cash. Regarding further cash returns, it's our intention that pending shareholder approval to increase our annual dividend by 15% to €0.46 per share and to increase the size of the current buyback program to €1.130 billion to take advantage of the maximum amounts which are available for dividend withholding tax-exempt share buybacks in 2012. This increase, together with the shares we will buyback to cover our employee share plans, allows us to buyback a total amount of €500 million, which in addition to the dividend announcement adds up to €700 million of potential returns to our shareholders. On top of this amount, the Company still has a capacity of more than €1 billion with which we can do a synthetic share buyback similar in style to the one we did in 2007. Q4 net bookings came in at 37 systems valued at €710 million. Booked ASPs declined from €22 million in Q3 to €19 million in Q4, but that was due to a product mix shift. Our fourth quarter bookings profile changed significantly, with foundry increasing to 71% of total, followed by NAND Flash at 22% and IDMs at 15%. DRAM actually had negative bookings as we de-booked two systems for €64 million in total. One system was canceled and one was rebooked to NAND. Our order backlog exiting the year was €1.7 billion, totaling 71 systems with an average selling price of €24.4 million, and the backlog profile at year-end changed significantly as the combined memory continued on a downward trend to only 27% of the backlog versus 41% at the end of the third quarter. As to the outlook, we feel comfortable guiding our sales level as far as we have reasonable visibility. That is why at this time last year we guided with a 12 months view. Currently that view is six months and based on this, we expect the sales level for the first half of 2012 to be €2.4 billion. Together with our year-end backlog, we expect orders in the first half to adequately cover the sales expectation. System demand is currently strongly driven by Logic manufacturers needed to shrink beyond the 30 nanometer node for enhanced product performance while building critical mass capacity at those nodes in a growing competitive environment. As to the NAND segment, the forecasted bit growth for 2012 fuels our expectation that the NAND sector will be able to continue their aggressive shrink while adding required rate of capacity during 2012. The DRAM market is currently experiencing a very difficult environment as evidenced by the share of DRAM customers in our backlog. However, if the current forecasted demand for bit growth in 2013 comes through, lithography demand will very likely follow which could potentially happen towards the end of this year in preparation for that demand. Sales for the first quarter are expected to come in at around €1.2 billion. The gross margin these revenues will have will be about 43%. R&D expenses in Q1 will moderate a bit to €145 million as we drive greater efficiency while giving complete and continued support to our dual product leadership strategy. Efficiency gains will also decrease SG&A to about €54 million in the quarter. With that, I would like to turn it back over to you Eric.
Eric Meurice: Thank you, Peter. As Peter mentioned, 2011 was a record year for ASML and 2012 opens with a very solid first half. This success confirms the robustness of the fundamentals of the lithography business and the value of technology leadership to sustain this robustness. As articulated during our last quarter results call, two technologies will be enabling the next generation of semiconductor technologies, multiple patterning using immersion on hand and EUV on the other. Both technologies will cohabit for a while, as the transition to EUV will be gradual. At some point, which last call we described that being beyond 15 nanometer to 20 nanometer in the DRAM business, beyond 10 nanometer to 15 nanometer in NAND and Logic. And so at this point, the immersion technologies will have a hard stop for use on critical layers. Until then, multiple patterning and EUV will coexist indeed with a mix depending on every critical layers complexity and respective manufacturing cost. Most customers are therefore proceeding with parallel process developments preparing some layers to be either processed with immersion technology or with EUV, thus having the security of a known technology as a backup and having full use of the installed base while preserving the enabling capability and cost effectiveness of EUV. ASML will support this gradual EUV ramp with an aggressive dual product strategy, continuous innovation on our immersion platform concurrent with the development of the EUV platform itself. Regarding immersion, we have completed the qualification of our second generation NXT which will set a new throughput and overlay benchmarks respectively 200 wafer per hour plus and 4 nanometer on product overlay. We are also strengthening our suite of holistic lithography software and hardware products to enable process windows enlargement, process drift management and machine matching. We are planning the introduction of our third generation NXT at the end of 2012 with the next level of performance throughput and overlay. Regarding EUV, as you know, we've shipped six EUV pre-production NXE-3100 system and integration has begun on the 3300 production too, slated for delivery starting in H2 2012. We can claim today two significant accomplishments in EUV. First, we have stabilized the throughput of the current NXE-3100 in the field to about five to seven wafers per hour, thus enabling the customer recipe development and infrastructure qualification, particularly in mass making. More than 5,000 wafers have now been processed and customers have imaged down to 16 nanometer with a single exposure capability, accumulating therefore valuable experience in a number of cycles of learning. The second achievement in this space, we have made progress on the different work packages advancing the development of the source and have been able to address and fix the number of technology limiters. We confirm our roadmap therefore to achieve proof of stable throughput of 60 wafer per hour in the field in the summer of 2012, and 125 wafer per hour, which is our target, a year later. We have started the process of order taking of the next batch of system, a process that we hope to close by June. The systems of this next new batch of orders will add to the 11 systems that we have already booked. As also mentioned a number of times, ASML revenues opportunity in selling EUV technology or the alternative multiple patterning immersion technology or a mixture of both technologies for different layers as we mentioned, will be similar during the transition period, and therefore, we put equal emphasis on both technologies allowing our customers to choose the most appropriate technology for their respective lithography layers. In summary, we are encouraged by the insight that we have gained on the first half of 2012 and allow us to sustain a large quarterly R&D investment, which in turn will support our secular growth well into the future. With this, Peter and I would be pleased to take your questions.
Craig DeYoung: Thank you, Eric and Peter. Ladies and gentlemen, the operator will instruct you momentarily on the protocol for the Q&A session, but beforehand, I'd like to ask you to kindly limit yourself to one question with one short follow-up if necessary. This will allow us to get to as many callers as possible. Now, operator, if we can have your instructions and then the first question, please.
Operator: Thank you Mr. DeYoung. Ladies and gentlemen, at this time we will begin the question-and-answer session. (Operators instructions). The first question comes from Mr. Gunnar Plagge. Please state your company name followed by your question.
Gunnar Plagge – Citigroup: Yes, hello. Thanks for taking my question. It's Citi. I was just wondering whether you guys could give us a little bit more color on 2012. I mean, fundamental demand seems pretty strong, I mean 12 months ago, although I admit in a different macro context, we were talking about €5.5 billion sales. Maybe this year we have very aggressive order behavior and we have EUV shipments kicking in the second half. So I was just wondering, to what extent could H2 be flat or maybe even slightly up on H1 and if you can comment on that?
Peter Wennink: Yeah. I think there is of course a reason why we stick to the six months, because we have visibility to the six months. And the reason is that, basically what we do here, we have a top-down simulation based on forecasted growth numbers from some of the analysts companies like iSupply and then we do a simulation which is top-down. We corroborate that with the bottom up that customers are giving us and when that is within a reasonable range of each other, then we feel comfortable enough to go out and to give you guidance. This is what we did last year. So that actually customers gave us 12 months. So we could collaborate this and gave you 12 months. Now what we are doing, of course, the market is a bit more uncertain. I talk about the macro economics; so customers gave us six months. We can collaborate six months and this is what we do. So not more color in that sense. The only thing is and that is what I repeat what I said in my introductory statements is that when we look at the order backlog, it is more skewed towards Logic which actually means that Logic will be an important element for us to ship in the first six months. NAND still for 2012 shows good bit growth numbers, which actually needs to be supported. We know they shrink roadmaps and you could say the outlier is a bit that DRAM market today because it's not good. But now clearly we have then had 2011 and 2012 as not very good DRAM years and what we are currently seeing in terms of expectation of bit growth in 2013 for DRAM is actually quite significantly up. That needs to be supported, so I would say that is an opportunity. I think that is – but that opportunity is clearly not for the first six months. I think that is kind of the color which I would like to give you and stay with that because we simply don't know more.
Gunnar Plagge – Citigroup: Okay, thanks. And maybe as a follow-up, I think your main competitor recently extended their modern wafer stage handling system from cutting edge to capacity tools and I was just wondering to what extent you would expect an impact on your capacity tool opportunities going forward and to what extent this reflects also more mature handling system from your competitor compared maybe to your TWINSCAN system? Thank you.
Eric Meurice: Yeah, I understand that our competitor has made improvement. In fact one of the competitor is working on i-Line area and the other competitors is looking on trying to improve a bit on the ArF dry area and I wonder if we'd try to use some of that into the KrF arena. But we still believe that our product have a number of advantages still on paper and in reality the issue of what we call machine matching become even much more of a problem. So, if you have leading technology machine in your factory and then you have to process multiple layers, and you use a KrF or an ArF immersion or an ArF dry, you would prefer these machines to be matching your state-of-the-art machinery and it is usually better to or easier to use the same supplier to do so. So indeed we are worried.
Gunnar Plagge – Citigroup: Thanks.
Operator: The next question comes from Mr. Simon Schafer. Please state your company name followed by your question.
Simon Schafer - Goldman Sachs: Yeah, thanks so much. It's Goldman Sachs. I was wondering, Eric, on your crystal ball as I were on – in terms of supply and demand in the foundry industry. I guess the premise of the question is, it seems like both the Intel and ARM ecosystems are spending aggressively at the same time and pace. So I just wondered what you felt maybe the risks and balances are surrounding foundry spend as you go into the second half just because there seems to be a lot spending going on at the same time from both ecosystems?
Eric Meurice: At this moment the foundry huge investment that we are seeing is mainly due to growth in 30 nanometer built up faster than expected of 28 nanometer and preparation of the R&D of 20 nanometer. On the preparation of R&D for 20 nanometer, this is irrelevant to your question, it's irrelevant in that case, there is a critical mass of investment that they had to do no matter what so that they are present in the business. In the 28 nanometer, what's happening at this moment is, even if you would consider a sort of aggressive build, this aggressive build is still very small to a full node. It's just a ramp, so it's good for us. In fact, it sustains nicely H1, but the numbers are nowhere near huge. So the fight at this moment would be on capacity, do they build too much capacity on the 30 nanometer? And I would say at this point on that one, Intel is not present in that segment. Intel plans to be present in the future segment. So in other terms your question would be probably valid at the next big batch of orders we may receive from Logic. At this point there could be a question of 'double booking.'
Simon Schafer - Goldman Sachs: Got it. Understood. That’s clear. Thank you. And my second question would be just in terms of this potential for reverse stock splits that you've outlined. In the past, I think, the parameters that you've always put forward is to talk about some sort of desirable net cash level I guess, including some of the prepayments and so on for the EUV ramp. I just wondered as to what that range was just so we get a sense as to when you may in reality start getting more aggressive in a potential redistribution to shareholders.
Peter Wennink: Yeah. I mean you are correct. I mean we need a certain level of minimum cash. A couple of years ago we used to say it was €1 billion. Now we're a bigger Company, so that is indeed a bit higher, but where we are today, the €2.7 billion, and actually also having used part of those prepayment, so that prepayment balance is actually going down. And the fact that clearly we will be profitable, very nicely profitable, means that we will generate also cash throughout 2012. That means that, like I said earlier, the maximum we can distribute under the withholding tax rules, there is about €500 million, €200 million dividend or €700 million we can easily distribute. On top of that we have that capability. Starting from this €2.7 billion effective we will generate cash that the balance of the prepayments will be shrinking because we are using that money to build up working capital, means that we will have indeed enough cash flow opportunity taking into account a minimum cash level which will be above the €1 billion level. But it will be still lower than €2 billion. So there will be enough capability if you do all your math to say that there is still an opportunity for us to do something substantial.
Simon Schafer - Goldman Sachs: Okay, great. Peter, thanks so much.
Operator: The next question comes from Mr. Gareth Jenkins. Please state your company name followed by your question.
Gareth Jenkins – UBS: Yeah, thanks. It's UBS. Just a quick one on, you previously talked about very strong layer growth in 2011. I just wondered what you saw the layer growth and what you think that would be in 2012. And I guess the follow-up is a related one, just the percentage of ordering that you see in Q4 and Q1 that’s related to shrink versus capacity? Thank you.
Eric Meurice: We would have on the full account really be too quantitative, but we should follow up on the question. But qualitatively NAND will see 2011, 2012 no layer growth, it's stable on that sense. So we are shipping and we expect to ship more in NAND because the business is booming, but not because the technology is overcomplicated. In the Logic arena however and in the DRAM arena, this still continues with one or two layers more on average, if I'm not mistaken, which would make it 15ish% type – sorry, no, it's more than that. In DRAM, that's correct. So 10% to 15% more layers and in Logic, the numbers of critical layers are much larger and I would prefer not to quote you myself, because I may be wrong, so we will follow that on you. So the big layer driver in 2012 is indeed Logic, followed closely by DRAM and NAND not too much, which is good by the way. That means in 2013 we expect the next NAND problem, if you know what I mean, an opportunity that the critical layers in NAND will become a problem, requires more lithography.
Peter Wennink: He asked about percentage ordering shrink versus capacity.
Eric Meurice: What?
Peter Wennink: Yeah, there was another question of – you asked, Gareth – that's the question of the percentage ordering shrink versus capacity.
Eric Meurice: Okay. At this moment so that's a hugely complicated question because we have – you've seen indeed some capacity due to – because we are shipping KrF, you've seen this in the order book. So there is indeed capacity, but surprisingly this capacity is for the big note, for the new notes. So in two years ago when we had the capacity surge, if you remember, we had good news for six, nine months about 65 nanometer. That was a huge capacity business due to China at that time, if you remember. This is not happening today. In fact, if you want to see in a crystal ball, I think this will be an engine of growth for us in 2013 or 2014. So, we're going to have in 2013, 2014 a number of, I would say, call it traditional designs like automotive designs who will shrink from 90 nanometer to something like 40 nanometer or something and there is a question in the industry whether these 90 or 65, 90 will grow – will shrink to 30, 40 or something like this. That is in other terms a way of saying in Logic there will be a wave of capacity entries into by the transfer of the traditional IDMs like ST and XP Freescales, Infineon, et cetera into the foundry. So you will have that. This is not happening today. This will be happening in the future and that's good news. This is an engine of growth of the future. The capacity that you have today is because for the first time in our history, the customers, in particular foundry, are building up the early node, the new node faster than usual. Don't remember the exact historical curve, but when you ramp a 28 nanometer, you would expect to ramp, say, 2% of your capacity for one year, then you go 5%, 5%, then you go 10%, then you go 15%, 20%. So it takes forever to get to this. At this moment, and this was the question related to the competition between the architectures, this new node 28 nanometer which will be fundamental, will be – is being built at the same time with more capacity than I would say we would have expected from historical standards. So we were concerned about that. But when you ask the question to our customers, you have a list of design wins and a list of hungry customers in the areas of portables in general, smartphones, tablets, et cetera, and all these devices which create a need to ramp these early nodes faster than ever in history. And indeed there is a question about whether that's too much, but as I say, it's so much at the start that it's not yet going to be a problem.
Gareth Jenkins – UBS: Very helpful. Thank you, Eric.
Operator: The next question comes from Mr. Andrew Gardiner. Please state your company name followed by your question.
Andrew Gardiner – Barclays Capital: Development process on EUV, you've highlighted briefly again the process you made in terms of imaging and with the light source. I'm just wondering how the conversations are going with your customers and how you see them planning for the use of EUV over the next few years in terms of the critical layers that they will deploy that with and are you still expecting that orders should start to increase over the next few quarters for 2013 as a result of that?
Eric Meurice : Okay, yeah. The whole EUV question. Numbers are facts. Nobody would expect EUV to be in huge volume in production before 2014. That has not changed. I think – I hope I had mentioned it before. So we would build EUV infrastructure between 2012, 2013 by shipping, as we said, about – it could be one amongst or something of this nature. But these are not really products provisioned in 2014. So the real issue for us is to achieve the performance necessary for 2014 which we said is going to be between 60 wafer per hours or 125 wafer per hour. If we do 60 wafer per hours, we have not so many EUV and a lot of immersion, and if we have 125 wafer per hour, we're going to have a lot of EUV and less immersions. So that's basically the status. We are well within this timeframe. The problem, however, and the reason why our customers are not happy with us and we are not happy with ourselves is, and we still have not enough data to prove this. As much as we are happy to have identified a lot of, I would say sub-project to make effort, we haven't been able yet to integrate all those sub-project together so that you can immediately see the 60 wafer per hour. We are able to show 105. What we are able to show debris control, we are able to show cleaning up capability of the collectors, etcetera, but we have not yet enough experience. We haven't put everything together in the same machine to be sure. So we still have an uncertainty point. So we still think – we are basically having a bunch of unhappy customers saying, guys, it is now time that you give us certainty. We think that we can give them certainty. It was my point at the beginning in the summer with proof of the pudding, proof of the 60 wafer per hour which would allow then them to say, obviously, it's a go and then they would accelerate their own recipe development and they will get us under pressure for delivery. So from now until the summer, there is going to be question mark as to the credibility of our development. And for us complication here is because we can't integrate all the improvement at the same time. We have to go through hugely technical discussion with our customers to explain the progress of every one of the legs until we converge sometime in the summer. So, that's the situation. However, the progress is visible. It's tangible enough that, in fact they continue having pressure, significant pressure. Tangible first, because the customers, although unhappy with our five to seven wafer per hour or so, they are able to do cycle of learning and that is a fundamental. So if you now talk to them and discuss about their mask shop, their activities to build up some wafers, the learning in the process, issues that you definitively always see in process development and the magnificent photographs that you can get at 16 nanometer which is also true, you get some excitement and you get some actions and you get some development on the six – in fact the five machines, the sixth one is just I think ramping the first wafers. So that's positive. That puts credibility into the product and that makes the customers develop. The second part of the equation is that we have enough facts in our joint work with source providers that the customers are ready to potentially put more orders. And this is what I announced in the discussion at the beginning that, say, we're starting now to put the official letters out that say dear customers, this is our facts. We are now ready to take more orders and we are offering yearly phases which is three or six months or so. And we offer a phrase today where we say dear customers, we'd like to get now the next commitment and that will be commitments for delivery with the lead time of about two years. So anything we take now will be delivered at the early 2014. Really difficult to give you colors at this moment. The numbers of folders will depend in some ways with the level of data that we're going to provide the market. I can tell you happily that today I think I've got an order into pocket but we have refused to take the paperwork because we want also ourselves to be sure. So we will wait. But we do have indeed huge interests which also confirm what I said before is whatever issue we will say and be concern about, there is a hard stop to immersion in due time. So we are convening to success at some point and indeed we can survive a period of time with a double approach, with multiple patterning, et cetera. But the whole industry knows that we cannot go and continue slipping the project and as I said, at this point, we feel still comfortable that by the summer we'll be able to say. Unfortunately, we now have to ramp with the hard work that it takes to ramp a new technology.
Andrew Gardiner – Barclays Capital: Thanks very much for the additional detail.
Operator: Mr. Gardner, we could not hear your company name, but it’s Barclays Capital, isn’t it?
Andrew Gardiner – Barclays Capital: That’s correct.
Operator: Okay. Thank you very much. The next question comes from Mr. Krish Sankar. Please state your company name followed by your question.
Krish Sankar - Bank of America Merrill Lynch: Yeah. Hi. It’s Bank of America Merrill Lynch. Hi, Eric. I had a near-term and a longer-term question. In the near term, it seems like you're guiding flat sales into Q2 and I just want to think how do we think about OpEx? Is it fair to assume SG&A goes down in Q2 because you don't have the profit sharing impact and how do we think about R&D into Q2? And add a follow-up.
Peter Wennink: Yeah. Near-term is yes. I think R&D is about flat to what we guide in Q1 and SG&A will be – is on a downward trend.
Krish Sankar - Bank of America Merrill Lynch: Got it. Thank you. And then a question for Eric. Longer-term from an industry perspective, do we think we need to get EUV right before we move into 450-milimeter wafer size or do you think those two can be done in parallel? I'm just talking from an industry perspective.
Eric Meurice: I think the industry, everybody would tell you and if not, get them wrong, though they will tell you. Obviously, everybody expect EUV to be right before 450 gets in. You're not going to quote any customers on it. But it seems now to be the obvious truth and for two reasons. One, 450 does not offer you the cost savings nor the performance capability of the chip, nor the power reduction requirements of EUV. So 450 is a palliative to the need to manage a cost structure of some sort. So in other terms, 450 helps a company who says, I've got a big fab and I'd like to use the square meters more effectively to be honest and of course there is a cost of square meters and the cost of infrastructure in general, but this has nothing to do with the usual 30% to 50% shrink factors of chips, which then allow you performance, cost and power. So there is no debate at all in the industry that EUV is a fundamental much more than 450. The second thing that is obvious to everybody as far as – EUV is a priority obviously – the second thing is that you cannot do transitions of the level of 450 which requires a complete change of the whole insides of the fab with every equipment supplier aligned in two years. You can dream this, but it's hugely impossible. So what you do is you create noise and activities and media, blah, blah (inaudible).
Krish Sankar - Bank of America Merrill Lynch: Sorry.
Eric Meurice: So make noise etcetera to make the 450 process being developed. So there is going to be activities for people to do some 450 prototyping etcetera. But in any event, such process takes time, and if even EUV would not exist, the 450 best insertion in would be 2016-2018 anyway. So we have made that clear to all of our customers which we said look this is your views, what do you think, and I understand that we heard from everybody that the obvious is in fact proper. We do EUV. This is a fundamental. We will make it happen by 2013-2014, then after that we have the whole industry to plan to 450 transition, and the 450 transition will be done in of course effective way which takes some times so there is not going to be 450 before 2016-2018.
Krish Sankar - Bank of America Merrill Lynch: Thanks, Eric.
Operator: The next question comes from Mr. Sandeep Deshpande. Please state your company name followed by your question.
Sandeep Deshpande – JPMorgan:
Eric Meurice: Yeah. So at that level I would – if I stigmatize a bit, yeah, there are no issues with the economic situation that are big enough to change the strategic investment plans of those large account. Indeed, in Logic, as we said at the beginning, you're not impacted by the fear factor of the Euro or whatever. In the NAND arena, you are clearly not considering this as an issue, because you just want to have the capacity to do the new products like the SSDs and the SIN PCs etcetera which are going to cover for your demand, your investments. So that's not a problem. In the DRAM business, what you have is a recovery from the bad news of last year. If you remember, last year the DRAM vendors were basically telling us and every one of us that they were reasonable people and they would build up just a minimum capacity and that's what they did in 2000 – at the beginning of 2011. The bad news however, tablet came in for the DRAM people. So the tablet basically cannibalized the PC business somehow. So the capacity installed in the DRAM business became too big for the product capability for the – they were basically planned for higher level of PC. So today, the DRAM people are waiting for the PC curve to get back in order to recover the – I would say the trend which makes then the installed based in DRAM cost effective or profitable and this is what Peter was saying by saying, well we don't think that is happening in the first six months and there is a high chance that it does happen in the second half and at that point, we would expect the DRAM industry to kick in. But indeed this – the numbers of PCs being sold, which is the only in fact piece of macroeconomic as I probably brought to the call, is an uncertainty and therefore, we do not want to call H2 on that uncertainty.
Sandeep Deshpande – JPMorgan: Thanks, Eric. One follow-up question. In terms of what you've said in the past that the next peak in your revenues will be around €7 billion. You've not put this on paper, but this is something they have talked about. Do you think this is 2014 phenomenon when you start shipping EUV in clear volume or is this 2015, 2016?
Eric Meurice: It's difficult to, because I promise to the market to come back with the famous target size of the business. If you remember, in 2010 I said €5 billion in 2015 and we did – sorry, 2005 to 2010. I said €5 billion for 2010. So we are kind of at that level. So now I'm ready to set up a number and you did quote something interesting on the phone, but I would prefer not to mention it at this very moment. I am waiting clarification of this EUV curve versus double patterning because for me at this moment for two years or so, there is no difference between double patterning and EUV in terms of economics. Revenue will be about the same. But beyond that, EUV has a huge opportunity of growth and I want to clarify that one with us achieving some technical results before I come to the market and say, I'm going to make another visionary statement. The size of the Company will get to the next level. So, give me another week or two – sorry, month or two, maybe until June or something hopefully where you would ask the same question.
Sandeep Deshpande – JPMorgan: Thanks a lot, Eric.
Operator: The next question comes from Mr. Satya Kumar. Please state your company name followed by your question.
Satya Kumar - Credit Suisse: Yeah. Hi. Credit Suisse. Just wanted to ask a quick question on inventories. I noticed that inventory days and receivable days have increased. I was wondering if you can add some color around that and how you plan for the 3300 and manage your working capital around that?
Peter Wennink: Yeah. The receivable days, there's nothing going on there. Only that the shipments were skewed more towards the quarter end. So that they were simply nothing there. That's a due day payment yet, so that's not an issue. On the inventories, we are building up 3300 inventories, you are right and that will only lead to sales in the course of this year. So we will have to have over next couple of quarters a build-up in inventory, which is going to be relatively short-term, because like we said, we are going to start shipping those tools in the second half of the year. But the work in process which is basically related to those sales, we will see this quarter and next quarter in inventory balance. But like I said, it's going to be short-term, so within 12 months. All the other inventory elements actually like inventory days on our regular inventory on work in process on NXT and our immersion tools, there's nothing really special there. It is really 3300 build-up.
Satya Kumar - Credit Suisse: Okay. And then a question about 3300 shipment profile. I think in the past you might have said that your capabilities to ship about one a month in the back half of this year; maybe you shipped five of the 10 orders that you have this year and maybe the remainder next year? And I think Eric you mentioned that new orders will only be shipped in 2014. But are you expecting – how should we think about the 3300 unit shipments this year and next year?
Eric Meurice: Yeah, you are a tough negotiator. So on paper, it is too early time. But what I said is correct; one amongst each is a capacity. We have 11 orders. We will start shipping in the summer and if we get the orders et cetera, you could see one amongst. But on the other hand we are hugely cautious and these are highly complicated machine. There is a difference between capacity and whether you can use the capacity and have no failures. So if you do an Excel spreadsheet on 2013, you may not want to put 12. You may want to put a factor of '2, so '8, whatever. By the way I don't know at this moment. We are…
Peter Wennink: It could be 12.
Eric Meurice: It could be 12. Yeah, the capability is 12 and we have to be sure that we can execute them. To be honest, I am not concerned about the market limitation.
Satya Kumar - Credit Suisse: And the 3300s, will it revenue upon shipment?
Eric Meurice: So the – yes.
Satya Kumar - Credit Suisse: All right. That’s simple. Thanks a lot.
Operator: The next question comes from Mr. Medhi Hosseini. Please state your company name followed by your question.
Medhi Hosseini - Susquehanna International: Yes. Medhi Hosseini, Susquehanna International. I want to go back to EUV. There is obviously an incremental confidence that is coming through the call. Can you elaborate more? Is this because your light source vendors have been able to ship the 50 watt product? Any other details that you can share with us as to what has caused this confidence?
Eric Meurice: Two factors. One is a just management factors which is the reason why we got delayed in EUV by 1.5 years or something is we face huge complexity on an area we didn't think there was as much complexity and this is a judgment, a misjudgment that we made jointly with our suppliers of sources. So when that was kind of understood last year in Q4 of 2011, in fact 2010, we jointly worked with our suppliers on a re-staffing and we multiply the staffing by a large factor and then from there we cut programs into pieces. So we have now much more visibility and understanding at the management level of each of the piece. And in this business, on one hand I'm going to say it's hugely complicated. On one hand, I'm going to say it's very simple. Every work packages when they are small enough. You go to a process of checking and it's complicated. So you can't really design it, but you check it. So you make a prototype, you check it and then you discover something and the discovery usually gets you a solution. We are rarely and at this moment this is why I'm saying I'm not worried at all about 2014, as we are in situations where we think we have a bunch of small little things which do not work, but we can simulate them, emulate them, check them and discover problems. So the good news is we have the staff and we have the work packages and we now have an estimate that there is no signs. That's the good news. The bad news is because it's trial and error situation of multiple work package in parallel, we are not 100% sure of the timing of the whole convergence, which is why I said at the beginning. So for instance what we knew for sure is that the moment you raise the power into any chamber, you will create numbers of physical impact, whether your coating will react chemically to something else, et cetera. So when that happens, you have to – if you're lucky, nothing happens. If you're not lucky, everything happens. So you have to change the coating chemistry, you have to change the weather and this is what the learning is. So on one hand we are very comfortable that we have cut the thing in pieces. On the other hand we are annoyed by the fact that we're still in the learning phase and we cannot tell our customers there is on another 10 works – 10 months or three months or so we have to do. So yes, the body language is good because EUV is not a monster that we don't understand and know the body language is not so good because I am also announcing that we are doing immersion and EUV at the same time because we don’t know enough to be sure that we will be able to have 100% of the layers on EUV on time.
Medhi Hosseini - Susquehanna International: But has the upgraded light source being shipped to the customer site? I imagine that 3100 was based on a 20 watt. Has that been – is in the process of being replaced by 40, 50 watts?
Eric Meurice: Well, everything is done in parallel. So you have a project on 105 watt, you have a project on 20 watt, you have a project on 14 watt, you have a project, et cetera. So all of these things have been demonstrated and to be honest, all of these things have shown problems and the problems are being worked on. As I said, there is one which is stupid. We put a coating and the coating is being destroyed and we wondered why we had the coating and we don't need the coating. So now we are rebuilding a chamber without the coating. It takes time but we know for sure it's going to work. So you cannot – unfortunately, we cannot give you data which are serial like what you would want. Do we have a 20 watt fully working in the full conditions with debris mitigation, with the transmission coating being in place, et cetera? No, unfortunately, we don't have that. We have work packages, multiple people working on solving their own side of the problem.
Medhi Hosseini - Susquehanna International: Just one quick follow-up. Could we see a situation by summer time where as EUV bookings start to be recognized, especially for 3300, that the ASP difference would enable ASML maybe for the first time to do better than the industry? If this year's CapEx is similar to last year front-loaded, could EUV make a significant difference for ASML when compared to the rest of the industry?
Eric Meurice: There is -- yes, the EUV build-up and the moment, we would give a complete green light with no clouds, would see a huge booking profile and a huge billing profile within 18 months to two years from these bookings, indeed. That's one of the scenarios. You also have a scenario that says, we will voluntarily with customers focus on only one or two layers and then the impact will be there, but not as large.
Medhi Hosseini - Susquehanna International: Okay, got it. Thank you.
Operator: The next question comes from Mr. Jagadish Iyer. Go ahead please and state your company name.
Jagadish Iyer - Piper Jaffray: Yeah, Piper Jaffray. Two questions. First, I think Eric you made a comment in your prepared commentary. You mentioned about an updated NXT tool. Can you walk us through the rational for this please?
Eric Meurice: Okay. This is not a prepared script. I do this on the cuff. I am astonished that you saw that it was prepared.
Jagadish Iyer - Piper Jaffray: I mean, I just wanted to know about the – I mean, is it just kind of a stop gap before the EUV or kind of…?
Eric Meurice: Yeah, I am going to answer your question. So no. It has always been our strength to always cannibalize ourselves if you want to – we always put R&D into every project that we think has an opportunity. The reason we do that is for risk management. So for instance today, it's a fundamental that all of you as investors understand that if for some strange reason we are delaying EUV by a major factor, we are still capable of delivering the same revenues for the next two to three years anyway. So there is a fundamental in the company, when you are single product company that you do not do stupid things that put into a situation of catastrophe of that sense. Also at the customer level, we are now as you know a fundamental supplier of lithography machine. So we have to have the solution to the need, no matter what situation could happen. So we do have to cannibalize. Therefore, even we are certain that EUV would work, I would still have somebody doing an NXT Version 2 or Version 3 in that case. Second point is, because as also immersion is not dead, when EUV happens and imagine you put yourself, you translate, you get yourself and this is a bid to answer Sandy's question. What’s the size of the Company in 2017-18? You are again going to have huge number of EUV layers and you are going to have a very huge number of Immersion layers at the same time. So the exciting bit here is, that today I am talking about either or and in 2018, I am going to talk with additionally, we are talking about huge complexity that where the two technology would be required, therefore the NXT 3 is designed so that it addresses the layers of immersion also of the future of 2017-2018. So in order to get there, you need to have a machine that runs towards 300 wafer power. Don't quote me. I didn't say that NXT 3 will do 300 immediately, but we have to start thinking about architecture that can do that. It has to be fully modular because a machine that runs at 300 wafer per hour cannot fail, if you know what I mean. The impact on the factory will be so huge. So we have to create machines which are 100% in action all the time. And if they don't, we can save the day within 10 minutes and we can reach out them and also it's a huge concept. And the third huge concept is own by the way when the nanometers in 2017-2018 will be sub-10 nanometer for the resolution, you have to have an overlay which will be potentially in the areas of 2ish or whatever which now doesn't make too many nanometers. We'll have to invent the picometres. So it's a huge thing that we any way have to do. So what we do here is we do it a bit earlier than necessary as a backup to EUV, but this R&D will be hugely useful for next generation EUV until immersion 2020-2022.
Peter Wennink: And in addition to that, you have to remember that double or triple patterning is not easy. It’s highly complex and especially with the resolution going down. So it means that the focus on the system enhancement products, which is the holistic litho product portfolio becomes ever increasing important to us and to our customers. So you could even argue that next generation double patterning without a good suite of those holistic lithography products is even not possible, so that is good for the Company also and adds significantly to the ASP and to, I would say, the margin profile.
Jagadish Iyer - Piper Jaffray: Okay. Just a quick follow-up on this one. Memory customers were supposed to be the early adopters of EUV. Given the weakening DRAM situation and somewhat of a cautious behavior or capacity addition by spending by NAND customers, how much of latitude do these guys have in terms of pushing out EUV until they find that they have to have a certain specification before they commit to it?
Eric Meurice: First of all, I think we may have miss-communicated a bit. The two drivers segment of DRAM and Logic. The weaker driver is NAND. NAND is a simpler design. So they are alternative delivery to the longer. So you have priority is DRAM then Logic, if there is even then by the way, but okay, and then NAND. The DRAM nightmare is indeed affordability, but look at the current structure of the market. You have numbers of leaders who do not have this affordability problem, but they do have the need to shrink. So we think that the DRAM leaders would be usually happy that the market remains a bit difficult in terms of affordability and that EUV would be available. There could be a differentiator here for that segment and in particular, the DRAM node is the worst one to do beyond 20-ish nanometer or even at 20-ish nanometer. This is not pleasant for the DRAM vendor at this point. Logic, you have a huge value creation with EUV because if you do not to EUV, you have design restrictions. If you have design restrictions in your foundry, you go to a customer and say, dear customer, I can do anything you want but these are the rules now. You cannot do that, you cannot do that, you cannot do that, you cannot do that, you cannot do that, and your shrink factor is 10% worse than the normal shrink. That's usually not very pleasant. So EUV will be driven. NAND, it will do everything possible to do simple sales until they have to do EUV, like we knew it is, and we will force EUV in with a cost-effective solution and at that point we have the switch. So, the good news with NAND for us until 15 nanometer is we can modulate our entry the way we want. If we price EUV low, we get in. If we price EUV high, we sell more immersion, so it's a nice opportunity.
Jagadish Iyer - Piper Jaffray: Thank you.
Craig DeYoung: Ladies and gentlemen, I had hoped to jump in before the last question and tell you that if you didn't get your question asked that Investor Relations departments are open for business afterwards, so feel free to give us a call and we'll try to help you out. So I'll advise you of that now. We've run out of time. So I'd like to, on behalf of ASML's Board of Management, thank you for joining us today. And operator, if you'd formally close the call, I would appreciate it.
Operator: Thank you, Mr. DeYoung. Ladies and gentlemen, this concludes the ASML 2011 fourth quarter and annual results conference call. Thank you for participating. You may now disconnect.